Operator: Good day, and welcome to the Civeo Corporation second quarter 2020 earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Regan Nielsen, senior director of corporate development and investor relations. Please go ahead, sir.
Regan Nielsen: Thank you, and welcome to Civeo's second-quarter 2020 earnings conference call. Today, our call will be led by Bradley Dodson, Civeo's President and Chief Executive Officer; and Carolyn Stone, Civeo's Senior Vice President, Chief Financial Officer, and Treasurer.  Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that our remarks today contain information other than historical information, please note that we're relying on the safe harbor protections afforded by federal law. Any such remarks should be read in the context of the many factors that affect our business, including risks disclosed in our Form 10-K, 10-Q and other SEC filings. I will now turn the call over to Bradley.
Bradley Dodson: Thank you, Regan, and thank you all for joining us today on our second-quarter earnings call. We sincerely hope that you and your loved ones are staying safe and healthy. The format for today's call will be to briefly review the second-quarter performance before updating you on what we see in our business today and providing an outlook for the balance of the year. Let me start by saying at Civeo, the safety and well-being of our employees, guests and contractors is our top priority. As we continue to monitor the virus in Canada, Australia and the U.S., we are continuing to adhere to the policies and procedures that are designed to ensure the health and safety of everyone at our locations. We'll remain -- we remain in continuous dialogue with all key stakeholders for the duration of the pandemic, and we extend our profound gratitude to our employees, guests, customers and vendors for their continued vigilance as we work together through this difficult time. There are two key takeaways from our call today. First is the resiliency and diversification of our business. Our second-quarter results demonstrate the resiliency of our business model and the benefits of our diversified exposure to multiple geographies and multiple end markets. Although our second-quarter performance benefited from a few onetime items, the Australian and Canadian segments both performed much better than we initially expected and particularly in light of the market environment. Secondly, our safe operations and our business model delivered differentiated financial results in this market. These differentiated financial results support our financial focus, which has not changed: drive free cash flow and reduce our debt. We generated 25 million of free cash flow in the second quarter and reduced our total debt outstanding by 15 million. We also reduced our leverage ratio to 2.34 times as of June 30th, down from 2.54 times at March 31st. And importantly, we expect to remain in compliance with our financial covenants for the rest of the year and going into 2021. We also expect to remain free cash flow positive for the remainder of 2020, and our full-year guidance will demonstrate this. I'll now provide a brief summary of our performance for the quarter and a business update as we continue to contend with the COVID-19 pandemic and the cross currents in the global commodities market. Carolyn will then provide a financial and segment-level review, and I'll conclude with some directional commentary on our expectations for the third quarter. We'll talk about the guidance for the full year before we move into the question-and-answer portion of the call. Our team performed exceedingly well under rapidly evolving circumstances during the second quarter. Civeo's second-quarter results were punctuated by a 44% year-over-year increase in Australian segment's adjusted EBITDA and some recovery in our Canadian occupancy during -- throughout the quarter. On a consolidated basis, we generated revenues of $114.7 million, adjusted EBITDA of 28.1 million and 25.1 million of free cash flow. Turning to our balance sheet. Our leverage ratio, again, declined to three -- 2.3 times, and maintaining a healthy balance sheet and liquidity profile will continue to be our top priority for 2020 as we execute on our strategic objectives. Let me take a moment to provide a business update across the segments. Our business in Canada produced encouraging second-quarter results, given the oil and gas price volatility and disruptions to operations from the pandemic, both of which drove room nights down meaningfully from our first-quarter levels. LNG activity at our Sitka Lodge began to ramp up toward the end of the second quarter and was better than we anticipated. And we have seen some turnaround activity beginning late in the second quarter in our oil sands locations. As Carolyn will discuss in more detail momentarily, the Q2 Canadian adjusted EBITDA benefited from $7.8 million of onetime items but still markedly outperformed our expectations that we had at the end of the first quarter on an operational level. In Australia, the market fundamentals have been remarkably resilient. The pandemic has been minimally disruptive to occupancy and customer spending. Metallurgical coal prices appear to be stabilizing in the 100 to $120 per metric ton, and our customer occupancy levels in the Bowen Basin continue to be strong. Iron ore prices have performed extremely well, underpinned by global supply disruptions, which have more than offset transitory demand deferral. Our Action Catering team continued to deliver outstanding results in the second quarter as we execute on the recently -- on recent contract awards tied to iron ore activity. Conditions in our U.S. business continue to be extraordinarily challenging due to the collapse in E&P drilling and completion spending. Our West Permian and Killdeer lodges, along with our well side services business, have been particularly hit hard in recent months. As we mentioned on our last earnings call, we have confronted these realities by closing and consolidating facilities to control costs, particularly in the northern U.S. basins. Our playbook for today's unpredictable environment is consistent with the approach that has enabled us to successfully navigate challenging conditions in the past. Our priorities are to keep our employees and guests safe, maximize free cash flow generation, reduce debt, preserve financial flexibility and reduce costs without compromising service quality. With that, I'll turn it over to Carolyn.
Carolyn Stone: Thank you, Bradley, and thank you all for joining us this morning. Today, we reported total revenues in the second quarter of $114.7 million, with net income on a GAAP basis of 6.1 million or $0.03 per diluted share. Net income includes 4.7 million of income associated with the settlement of a representation on warranty claim related to the Noralta acquisition. During the second quarter, we generated adjusted EBITDA of 28.1 million, operating cash flow of 24.5 million and free cash flow of 25.1 million. Let's now turn to the second-quarter results for our three segments. I'll begin with a review of the Canadian segment performance compared to their performance a year ago in the second quarter of 2019. Revenue from our Canadian segment was $53 million as compared to revenues of $78.1 million in the second quarter of 2019. Adjusted EBITDA in Canada was $15.3 million, a decrease from 16.3 million in the second quarter of 2019. Revenues and adjusted EBITDA for the quarter were both negatively impacted by a year-over-year decrease in billed rooms related to reduced customer activity due to the decline in oil prices and the COVID-19 pandemic. Adjusted EBITDA was also impacted by COVID-19-related increases in operating costs of $1.9 million in the second quarter of this year. However, the effect of these items on adjusted EBITDA was muted by 6.2 million of other income related to proceeds from the Canada Emergency Wage Subsidy, or CEWS, as well as a $1.7 million gain from the sale of a portion of our assets at our Henday Lodge. During the second quarter, billed rooms in our Canadian lodges totaled 410,000, down year over year from 740,000 for the same quarter of last year. This decline was related to significantly lower customer activity as discussed earlier due to the decline in oil prices and the effects of the COVID-19 pandemic. Our daily room rate for the Canadian segment in U.S. dollars was $96, up 8% year over year. Turning to Australia. During the second quarter, we recorded revenues of 57.1 million, up from $31 million in the second quarter of 2019. Adjusted EBITDA was 18.8 million, also up from 13 million during the same period of 2019. These results, which represent a 96% year over year top line increase on a constant currency basis, were positively impacted by the acquisition of Action Catering, as well as increased occupancy in our Bowen Basin villages while slightly offset by approximately $600,000 of net COVID-19 operating costs in the second quarter and the weakening of the Australian dollar relative to the U.S. dollar. Billed rooms in the quarter were 502,000, up 21% from 416,000 in the second quarter of 2019, largely due to continued improvement in net coal activity across the Bowen Basin. The average daily rate for our Australian villages in U.S. dollars decreased to $70 in the second quarter from $74 in the same quarter last year as a result of the weakened Australian dollar. Moving to the U.S. Revenues for the second quarter were 4.6 million as compared to 13.1 million in the second quarter of 2019. The U.S. segment saw a negative adjusted EBITDA of 1.4 million in the second quarter, down from adjusted EBITDA of 2.6 million during the same period last year. These year-over-year declines were primarily due to broadly lower drilling and completion activity due to lower oil prices, as well as the impact of the COVID-19 pandemic. Turning to capital expenditures. On a consolidated basis, capital expenditures were $1.2 million in the second quarter, down from $11.5 million in the second quarter of 2019 due to the completion of our Sitka Lodge expansion in 2019. Our total debt outstanding on June 30th was 299.5 million, which was 15.3 million lower than March 31 balance. The decrease consisted of 28 million in debt payments during the quarter from cash flow generated by the business but partially offset by an unfavorable foreign currency translation impact of $12.7 million. As Bradley mentioned, our leverage ratio was reduced to 2.34 times as of June 30th compared to 2.54 times as of March 31st. And as of June 30th, 2020, we had total liquidity of approximately $166.2 million, which consists of 158.9 million available under our revolving credit facilities and 7.3 million of cash on hand. Due to the positive outcome of our second-quarter results, as well as changes in our forecast for the second half of 2020, we believe that we will remain in compliance with our leverage ratio covenants in our credit agreement without the need to obtain covenant relief as previously discussed in our first-quarter 2020 Form 10-Q. Bradley will now provide some closing commentary and discuss our outlook for the remainder of the year, along with reinstated guidance. Bradley?
Bradley Dodson: Thank you, Carolyn. We'll go through each of the segments, and then I'll summarize what we're thinking about for the full year of 2020. In Canada, the outlook for the remainder of 2020 is stabilizing. Although customers continue to limit their employee headcounts to essential personnel, we are anticipating modestly higher occupancy in the third quarter from second-quarter levels. The third quarter started off with improved occupancy in Canada due to oil sands turnaround activity, and occupancy at our Sitka Lodge is also a source of modest sequential improvement in the third quarter as room nights should be up relative to the second quarter. But Sitka's occupancy will be subject to social distancing and related headcount constraints. All of the above should translate into a roughly 10% increase in occupancy in the third quarter from the second quarter. Regarding the Canadian Emergency Wage Subsidy program, the government of Canada recently indicated its continued support of this program through the end of the year. We currently expect to apply in the third and fourth quarters of 2020, and we should qualify and expect to receive some subsidies in the second half of the year. However, we have not included any of the forecasted proceeds from the CEWS in our full-year guidance. But due to the CEWS proceeds and a gain on sale in Q2, we are currently estimating sequentially reduced EBITDA in the Canadian business in the third quarter despite increased billed rooms. The outlook for the Australian business in the third quarter is very constructive. As the economic and supply chain impacts the steel production received in China and India, demand for seaborne metallurgical coal imports should recover modestly as 2020 progresses. Iron ore supply disruption due to worsening pandemic in Brazil should benefit Australia with a healthy price environment, and strong customer activity could still pay higher export volumes. We did experience strong occupancy overperformance beyond customer take-or-pay minimums in the second quarter, and those are not guaranteed to continue in the second half. Because of this, we are currently expecting modestly lower billed rooms in the third quarter of 2020 relative to the second quarter. We're not expecting any large customer projects to kick off in 2020. We continue to track potential greenfield growth projects as we look into 2021 in Australia. The prognosis for the remainder of 2020 in our U.S. segment is very challenging. Oil prices have stabilized well above the Q2 lows, but the U.S. E&P sector is continuing widespread financial distress and demand for investors for heightened capital austerity. Therefore, we are not expecting a recovery in our U.S. business in the second half. As we noted on the first-quarter call, our team has grown accustomed to dealing with subdued customer spending in the U.S. business, and our focus will continue to be on controlling costs and adjusting our footprint to match activity. Despite the continued economic disruptions across key end markets, we feel we are now in a position to again provide full-year 2020 revenue and EBITDA guidance. We expect our full-year 2020 revenues to be in the range of 476 million to 486 million and adjusted EBITDA in the range of 80 million to 85 million. In addition, we're maintaining our full-year 2020 capital expenditure guidance of approximately $15 million. We will provide further updates on these figures during our third-quarter earnings call. And please note that this guidance is based on our expectations as of today and assumes no material changes in the current macroeconomic environment or in commodity prices, global commodity demand levels or conditions related to the COVID-19 pandemic and the responses thereto. Our plan to navigate this extraordinary and rapidly changing environment is to consistently apply the strategic playbook that has gotten us through periods of uncertainty in the past. To that end, our mandate remains as follows: we prioritize the safety and well-being of our guests, employees and vendors. We will manage our cost structure accordingly as we look at an evolving occupancy outlook. We'll continue to enhance our best-in-class hospitality offerings, and we'll allocate capital prudently to maximize free cash flow generation and reduce debt. Before we proceed to the Q&A section, I'd like to call out the extraordinary efforts of our global team of employees at Civeo. We responded to an unprecedented set of challenges in the recent months with selflessness, devotion and unwavering professionalism. Our solid financial results in the second quarter under exceptional circumstances only tell part of the story. The work that you put in behind the scenes to keep our customers, fellow employees and contractors safe, healthy and comfortable was amazing. On behalf of the entire Civeo management team and the board of directors, thank you for all that you do. With that, we're happy to take questions.
Operator: [Operator Instructions] Our first question today comes from Stephen Gengaro of Stifel. Please go ahead.
Stephen Gengaro: Thanks, and good morning everybody. The -- so when I look at the guidance that you gave for the second half of the year on the EBITDA side, it's clearly better than where I think we were and where the consensus was after a really good second quarter, but the second half looks better. When you look at the second half and I think about free cash flow generation, what are the puts and takes? And how does working capital -- how do you think working capital acts in the second half of the year?
Bradley Dodson: We should remain, as I mentioned, we should remain free cash flow positive. We can have some working capital shift kind of Q2 to Q3, particularly around -- we have our insurance renewals for the entire program, both cash flow and financial and property. And we also have property tax payments that are due, primarily in Canada. So there may be some use of working or working capital will be a cash outflow in the third quarter. I'd say on balance, it might be a slight outflow in the second half, but it's less than $5 million, I would say, in total.
Stephen Gengaro: And then you -- in a better spot here, obviously, from an EBITDA perspective, the leverage ratio has come down a bit. When you are having conversations now with the banks, and it doesn't appear you need any amendments, does that -- how does it change the conversation or does it when you're talking about extensions or redoing the bank agreements going forward?
Bradley Dodson: Carolyn, do you want to tackle that?
Carolyn Stone: Sure. Thanks, Bradley. Stephen, well, as you can imagine, as you alluded to, despite the fact that we don't think we need covenant relief and we don't intend to pursue covenant relief at this point, we do have a maturity coming up in November of 2021. So we will be working with our bank group over the next few months to address that maturity. And I'm not sure that it changes the conversation significantly other than the fact, obviously, it's better for all of us that we are looking at having lower leverage over the current term, as well as the potential -- any potential extension. So we have a very supportive bank group and we fully expect to support us as we enter into those discussions in -- over the course of the next few months.
Stephen Gengaro: Okay
Bradley Dodson: And I'll just add to that that Carolyn and her team are in -- as you can imagine, there's some uncertainty in a lot of conversations with the banks, not necessarily weekly, but very often. And so our lenders have seen the progression of the forecast. So obviously, we're moving in the right direction. Being free cash flow positive is differentiating among many oilfield service credits that they have in their portfolio. Continue to reduce aggregate leverage is also a positive. So they're fully informed. They're fully aware that -- of our situation. And generally, our story has played out better than we initially expected. And the cash flow generation profile of the business, I think, is obviously important to the lenders.
Operator: [Operator instructions] Our next question comes from Kurt Hallead of RBC.
Kurt Hallead: Good morning. Just on the guidance, Bradley, just want to get a little bit more clarity on it. In your reference on the guidance, you said that the EBITDA numbers do not include any additional benefit from the Canadian dynamic, Canadian benefit dynamic. In the second quarter, your EBITDA -- adjusted EBITDA number did include, as you mentioned, over $7 million of kind of onetime items. So I guess my frame of argument here is when you look at the full year EBITDA, does that $80-plus million of EBITDA include that onetime benefit in the second quarter?
Bradley Dodson: It does. So we reported 20.3 million of adjusted EBITDA in Q1. And then you're right, we had 28.1 million of adjusted EBITDA in the second quarter. So that 48.4 million would be the first half number that would go into the 80 to 85 for the full year.
Kurt Hallead: And then it would appear to me there's going to be a substantial drop-off in Canadian EBITDA in the back half of the year. Probably having to run less than 5 million a quarter to kind of keep you in the range of that 80 and 85 million. So I just wanted to just try to kind of make sure I was understanding the progression correctly.
Bradley Dodson: Well, so in the Canadian EBITDA in the second quarter, we had the 7 million plus, let's call it, 8 million of onetime items. So you take those out of the 15.3 million, about $8 million of EBITDA in Canada in the second quarter at an operational level. And while that's -- that's significantly higher than what we were thinking 90 days ago. So what happened in the second quarter, occupancy at the Sitka Lodge was materially better than we were anticipating. And as we talked about a little bit in our prepared comments, we saw the turnaround activity start to kick in, in June primarily, and that will continue into the third quarter. So implicit in the guidance for Canada is essentially flat EBITDA from there for the rest of the year, both third quarter and the fourth quarter. So I don't think that's herculean in terms of an assumption. I think there are probably some opportunities. As I mentioned, we should get some CEWS proceeds. So the reported adjusted EBITDA should be better. And should we see occupancy, particularly on the turnarounds, extend longer, we could have some upside there. So I think five is too low.
Kurt Hallead: I appreciate that additional info. Just one last thing. So you mentioned that you expect to be free cash flow positive during the course of the second half of the year. And also just want to make sure I heard you expect still to spend -- have capital spending, about $15 million on a full-year basis?
Bradley Dodson: That's right. We've got a handful of projects, particularly in Australia, in order -- as we see occupancy continue to stay strong there that we need to put some money to work there. That's the biggest piece of it. We'll have a little bit of capex in the second half for Canada as it relates to the coastal gasoline pipeline and our mobile camp work that we're doing to support that.
Kurt Hallead: Got you. And any plan for that cash flow to continue to reduce debt?
Bradley Dodson: That's right. Yes, we need to continue to move the aggregate leverage lower and continue to delever the company.
Kurt Hallead: Right, I appreciate that color. Thank you.
Bradley Dodson: Thank you.
Operator: Our next question comes from Stephen Gengaro of Stifel.
Stephen Gengaro: Thanks. Just two quick follow-ups. One is on the Australian side, I know Australia has, clearly had a good trend in the second quarter as well. Can you give us an update, just any more details on how that plays out in the back half of the year? And it seems like just from the breakout in the press release that the Action acquisition showed a really nice improvement in the second quarter. Can you add some color there?
Bradley Dodson: Sure. I was very pleased with the -- on the base business in terms of the room nights in Australia and our villages there. I was very pleased with the performance there. We're being conservative in our second half guidance for Australia. We had -- a couple of things happened. We had customers taking more rooms above and beyond the take-or-pay minimums. We also had, in conjunction with that, some billed but unused rooms. We're assuming that as they tried to control availability there, and so we're being conservative in terms of our margins for the second half in Australia. I think there could be upside on that. But I think it's -- one of the things is, we could see margins come in a little bit if the rooms are occupied. So I think Australia's doing very well. I think one risk that we've got to continue to watch, the pandemic impact in Australia is not on the same scale as what we're seeing in other countries, particularly the U.S., in Texas, on its own. And so we need to see the COVID impact continue to be minimal. We've not had any reported cases at any of our locations there, knock on wood, and that could really impact occupancy if they were to see an outbreak there. I think the government has done a very good job in containing things. I don't think that's likely, but it certainly is a risk to the profitability of that business in the second half. Action's done exceedingly well. Again, this is a catering business we bought in July of last year with predominant operations in Western Australia, serving the iron ore markets there. We've seen customer occupancy still above our initial expectations in the first half, and we expect that to continue in the second half. The team has done a very good job in both winning new work and renewing contracts. So our expectations for that business are double what we budgeted for the year. And the team has done a very good job, and it's largely on volume and contract rewards.
Operator: As there are no further questions at this time, I would like to hand the call back to Mr. Dodson for any additional or closing remarks.
Bradley Dodson: Thank you, Kevin. Thank you all for joining the call today. I hope you all remain -- stay safe and healthy as we continue to work through this as a country and a globe. And we look forward to speaking to you on the third-quarter call.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for participating. You may now disconnect.